Operator: Good afternoon and welcome to the Fluor Corporation's Fourth Quarter and Year End 2012 Conference Call. Today's call is being recorded. [Operator Instructions] A replay of today's call will be available at approximately 8:30 p.m. Eastern Time today, accessible on Fluor's website at www.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available through 8:30 p.m. Eastern time on February 26 at the following telephone number: (888) 203-1112. The pass code of 9088046 will be required. At this time, for opening remarks, I'd like to turn the call over to Ken Lockwood, Vice President of Investor Relations. Please go ahead.
Kenneth H. Lockwood: Thanks, operator. Welcome, everyone, to Fluor's Fourth Quarter and 2012 Year End Conference Call. With us today are David Seaton, Fluor's Chairman and Chief Executive Officer; and Biggs Porter, Fluor's Chief Financial Officer. Our earnings announcement was released this afternoon after the market closed, and we have posted a slide presentation on our website, which we will reference while making our prepared remarks. Before getting started, I'd like to refer you to our Safe Harbor note regarding forward-looking statements, which is summarized on Slide 2. During today's call and slide presentation, we will be making forward-looking statements, which reflect our current analysis of existing trends and information. There is an inherent risk that actual results and experience could differ materially. You can find a discussion of our risk factors, which could potentially contribute to such differences, in the company's Form 10-K, which was also filed earlier today. During this call, we may discuss certain non-GAAP financial measures. Reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and are posted in the Investor Relations section of our website at investor.fluor.com. With that, I'd like to turn the call over to David Seaton, Fluor's Chairman and CEO. David?
David T. Seaton: Thanks, Ken, and good afternoon, everyone, and thank you for joining us. I'll apologize ahead of time for any sniffles or coughs that occur during my answers or prepared remarks. I'm fighting a little bit of a cold here. But as Ken said, today we want to review our fourth quarter and full year 2012 results and discuss our outlook for 2013. If you'll turn to Slide 3, I'd like to cover the 2012 full year performance. Net earnings attributable to Fluor for the year were $456 million or $2.71 per diluted share, which compares to $594 million or $3.40 per share in 2011. Our financial results for 2012 were impacted by the unexpected adverse arbitration decision on the Greater Gabbard claim, which we announced back in November. After a thorough evaluation of the arbiter's decision, we booked a pretax charge of $416 million or $1.57 per diluted share on an after-tax basis. Excluding this charge, net earnings attributable to Fluor for 2012 would have been $4.28 per diluted share. Segment profits results for 2012 reflected strong double-digit growth in Oil & Gas and Global Services, with strength in Industrial & Infrastructure, notwithstanding the Greater Gabbard arbitration decision. Fluor delivered in that case a quality project, which is generating electricity at a rate that the client has said is ahead of their own expectations. And as you're aware, we expect arbitration proceedings in the client's counterclaim to commence in the spring. Consolidated revenue for the year was a record $27.6 billion, representing an 18% increase over last year, due in part to strong growth in Oil & Gas segment, as well as Mining & Metals business lines. New awards for 2012 were strong at $27.1 billion, including $12.6 billion in Oil & Gas and $9.5 billion in Industrial & Infrastructure. Consolidated backlog at year end was $38.2 billion, which compares to $39.5 billion a year ago. In addition, we have seen improvement in the margin of our backlog over the last several quarters. Now please turn to Slide 4. Oil & Gas awards in the quarter include a petrochemical facility for BASF in Europe and Asia and a petrochemical facility for Braskem in Mexico. Oil & Gas backlog ended the year at $18.2 billion, which represents a 21% increase over a year ago. Now the Oil & Gas group continues to see strong demand for front-end engineering contracts, especially for petrochemical facilities. As we move through 2013, we expect a balanced slate of new awards with major prospects across upstream, downstream and chemical market -- petrochemical markets. The Industrial & Infrastructure grew the backlog. At the end of the year, it was $15.5 billion, which is down from $20 billion a year ago. This decline was driven by significant progress on existing mining projects coupled with the cancellation of 2 mining projects in the third quarter of last year that totaled $2 billion. Fourth quarter new awards were $3 billion, including significant additional scope on the Pascua-Lama copper mining project in Chile and Argentina for Barrick Gold. The I&I group also booked a program management contract for Ma'aden's large new phosphate complex in Saudi Arabia. Within the infrastructure business line, demand for large transportation projects remain solid, and the fourth quarter was a great indicator of how strong this market is expected to be for Fluor. In November, we were selected as the EPC contractor for the Horseshoe interchange project in downtown Dallas. In December, the New York Department of Transportation selected a Fluor-led team to build the Tappan Zee Bridge north of Manhattan. We expect to book Fluor share of these 2 projects totaling approximately $1.7 billion into backlog in the first quarter of this year. Turning to Slide 5. New awards for the Government group in the fourth quarter were modest due to the timing of the LOGCAP IV task order awards. The group expects that task order awards under this contract will remain strong through 2013. Ending backlog for the Government segment was $978 million, which compares with $1.1 billion a year ago. Moving to Global Services. The segment booked $211 million in new awards during the quarter, including maintenance agreements for major chemical, mining and steel production clients. Ending backlog was $1.7 billion. They are beginning to see modest improvements in the U.S. economic picture as they pursue new long-term contracts with major industrial customers. Power segment new awards for the fourth quarter were modest at just under $100 million and ending backlog at $1.9 billion. The group is currently working on a number of gas-fired and solar projects, in addition to maintaining power facilities across the United States. Looking at 2013, the group expects opportunities for new gas-fired plants, alternative energy, including solar, as well as plant betterment programs. With that, I'll now turn it over to Biggs to review some of the details of the operating performance and the corporate financial metrics for the quarter. Biggs?
Biggs C. Porter: Thanks, David, and good afternoon, everyone. Please turn to Slide 6 of the presentation. I want to start by commenting on our performance for the fourth quarter. Revenue in the fourth quarter was up over 12% from a year ago to $7 billion, mainly driven by significant growth in the Oil & Gas segment. Regarding our earnings results for the quarter, there are obviously a number of moving parts, some of which were considered in our guidance and some that were not. So I think it would be helpful to summarize them for you. To do that, please turn to Slide 7. The as reported EPS for the fourth quarter was a loss of $0.03 per share. The Greater Gabbard charge was a negative impact of $1.61 per share, which was not included in our guidance or in current analysts' consensus estimates. The fourth quarter benefited from several positive items, the first of which was the sale of our equity interest in a telecommunications joint venture in the U.K., which yielded a $43 million pretax gain or approximately $0.17 per share benefit in the quarter. We talked about this in our last call and it was included in our guidance. Next was a renegotiation of the terms of our LOGCAP IV contract to a fixed fee arrangement. You'll recall that in the third quarter, the Government group's operating results were significantly impacted by a lower-than-expected LOGCAP award fee score, which resulted in a downward revision of our fee assumption for the year. During the fourth quarter, we reached an agreement with the client to change the contract from an at-risk award fee to a fixed fee. This resulted in a $17 million improvement in the quarter or approximately $0.07 per share that was not in our guidance for 2012. Furthermore, it should add predictability to our fee recognition in 2013 and beyond. Finally, the lower-than-expected tax rate in the fourth quarter includes the release of previously unrecognized tax benefits and a net reduction of tax reserves totaling $43 million, reflecting the favorable resolution of a number of items. Lower tax rate generated a benefit of about $0.26 per share in the fourth quarter, which is about double the amount we expected. After considering all of these puts and takes, we posted a strong underlying fourth quarter results in Oil & Gas, Global Services and I&I. We also reduced G&A expenses in the quarter. Moving to Slide 8. New awards for the fourth quarter were $5.1 billion, including $3 billion in Industrial & Infrastructure awards, and $1.7 billion in Oil & Gas awards. Fluor's consolidated backlog at year end was $38.2 billion, which is down modestly from $40.8 billion last quarter, as revenue burn outpaced new awards of $5.1 billion in the quarter. The percentage of fixed-price contracts in our overall backlog was 15% at quarter end and the mix by geography held steady at 25% U.S. and 75% non-U.S. Moving to corporate items on Slide 9. G&A expense for the fourth quarter was $41 million, below the $61 million reported a year ago, due to a number of contributing factors, but primarily due to improvements in foreign currency positions and lower executive bonuses. The full year tax rate of 22% was below our original estimates due to a number of favorable contributors that I've already reviewed. Shifting to the balance sheet. Fluor's financial condition remains very strong, with cash plus current and non-current marketable securities totaling $2.6 billion. This compares with the balance of $2.8 billion a year ago. During 2012, the company generated $628 million in cash flow from operating activities, repurchased $389 million worth of Fluor shares, including $225 million during the fourth quarter, and paid out a total of $129 million in dividends. Finally, at our most recent meeting, Fluor's board approved an $8 million -- 8 million share increase in the company's share repurchase program, bringing the total number of shares available for repurchase to 11.8 million shares. I will conclude my remarks by providing an update in our guidance for 2013, which is on Slide 10. In 2013, we remain encouraged by the opportunities across our diverse end markets and are maintaining our EPS guidance at the previously established range of $3.85 to $4.35 per share. Consistent with how we expect Oil & Gas revenue and margins to progress, we expect our quarterly earnings to grow as we go through the year as well. We have included R&D expenses that equate to approximately $0.20 per share for NuScale in 2013. In addition, our guidance assumes G&A expense of approximately $165 million to $175 million and an effective tax rate of 33% to 35%. We expect capital expenditures of approximately $350 million. With that, operator, we're ready to take questions.
Operator: [Operator Instructions] We will take our first question from Jamie Cook with Credit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: A couple of questions. And, David, you brought it on yourself. You said that margins and backlog had improved. So can you talk about specifically what you're seeing in Oil & Gas? As some of your peers have come out and have talked about capacity tightening, in particular in the U.S. Gulf Coast, if you're seeing any of that and what the impact implications are for margins in the construction market longer term? And then you also said awards would be more it sounded like balanced throughout the year relative to before, I think, it was more back-end loaded, so you sound a little more constructive there. And last, ex the noise in I&I, your margins were really good at 5% -- 5.1%, so what drove that? And is that a function of some of these mining projects getting closer to completion?
David T. Seaton: No, well, I threw you a bone there on the margin question, and I'll answer that and kind of where I think the markets are headed and I'll probably answer some of the questions for the others. And I'll ask Biggs to talk a little bit about the I&I margins specifically. We are seeing, I think, a pretty strong opportunity list within Oil & Gas. And it is very diverse, both in terms of market and geography. We've been very successful in obtaining the front-end design on a number of programs. And assuming that the regulatory environment is possible -- is positive, it should be balanced as we go through the year, but I still think the significant EPC awards are back half of this year and into '14. So I think we've got the opportunity, I believe, just from the sheer amount of work that's coming to grow past where we were in the refining boom as we get into '14. Now, we have seen improvement in margin in our backlog, which is a good indicator of obviously future earnings. And that's a function of, I think, the value proposition that we hold with our customers. But I think we are seeing a little bit of tightening, but more in terms of making sure that the operators have access to the teams that they want, which does kind of look a little bit like the '07, '08 kind of time frame, where they're making sure they've got the project teams kind of committed to their long-term programs. And with that, it allows us to enjoy a little bit better margin. So I think the message is longer -- over the last half of this year and into '14, we've got a pretty good growth story in Oil & Gas. We've already seen improving margins in our backlog, and we continue to see that continue as we go through '13, which obviously results to better margin as we get into the back half of '13 and into '14. Biggs, do you want to mention or comment on the I&I?
Biggs C. Porter: Sure. And I'm not sure if you're asking broadly about margins to I&I, I'll try to address them both. The things that were already pointed out with respect to what affected margins in the quarter included the renegotiation of LOGCAP contract in the federal government group. And then within I&I, the sale of the equity interest and the $43 million gain on that certainly had a positive impact on margin. Beyond that, there are some other favorable items, most notably good performance on infrastructure projects within I&I. So underlying very good performance and a couple other things which weren't anticipated or which would cause little bit of an uptick in the form of the U.K. sale and the LOGCAP...
Jamie L. Cook - Crédit Suisse AG, Research Division: But, Biggs, are I&I margin is now structurally higher just because as we were getting to the latter end of some of these projects, because ex Gabbard and the gain, your margin was like 5%. I haven't seen a margin in I&I like that in a while. And I know you can't straightline it, but is it -- are we now more in the mid-4s or low 4s? How do we think about that?
Biggs C. Porter: Well, I don't know the -- I want to get to the point of giving the line item margin -- margin guidance for I&I. But as we said for quite a while, as mining goes down, that's lower margin activity and as the infrastructure business grows, that's higher margin activity. So you would expect I&I margins on that basis to be migrating upwards over time.
Operator: We'll take our next question from Andy Kaplowitz from Barclays.
Alan Fleming - Barclays Capital, Research Division: It's Alan Fleming standing in for Andy. Wanted to touch on the I&I revenue this quarter. It was down a bit sequentially. How should we think about that going forward? And should we be concerned about a faster decline in mining-related revenues?
David T. Seaton: No, I don't think so. I think -- we announced the Pascua-Lama additional scope, which is certainly a big part of that. I think we saw mining over the last probably 3 quarters kind of take a breath. And you also saw the changes in management on basically every senior mining house around the globe, where those management -- new management teams are going to take a little bit of time to prioritize their capital requirements. We haven't seen any of the things that we're looking at cancel, but I think they may move a quarter just because of new management teams. So I think that has an impact on backlog and revenue. At the same point, we're starting to front end on some pretty interesting programs in I&I. And we're on the very beginning pieces of things, like Tappan Zee and the like. So I think we're kind of at a transition point in I&I, where we're seeing the major programs kind of curtailed a little bit for the short term. At the same time, we're seeing some of the newer things come in. And I think that also lends itself to the margin question that Jamie asked, where we're working off some lower margin and putting in its place different kinds of projects at a higher margin.
Alan Fleming - Barclays Capital, Research Division: Okay, that's helpful. And then if I could switch gears and ask you about NuScale and get some updated thoughts on that. If I'm correct, it looks like you did scale back your guidance for R&D related NuScale expense in the outlook this quarter. So how should we read that?
David T. Seaton: Well, I still have great faith in the technology. I think it's part of the energy mix. Obviously, we're disappointed in the fact that the Department of Energy failed to do what they said they were going to do relative to FOA. But needless to say, we're still bullish on the technology. However, we've taken some action to make sure that we're being prudent. As you saw, I asked John Hopkins to go take that job. He was a senior executive with Fluor who was retiring, because we needed to make sure we had a strong management team to look at how they were spending the money and where they were headed. I'm happy to report that John has made some changes, has lowered the overhead associated with the current day-to-day operation. He is very keenly focused on bringing in additional investors, and that looks very positive in the very short term. But in our planning, obviously we've got a plan based on not having any additional investors. And that's why we've got the $0.20. But I think the lowering of that, frankly, is in looking at a different execution program relative to getting this technology to the NRC for approval. I feel good about where we are. I feel good about the changes that have been made. And we're just going to be very prudent in how we go forward. One of the things within the FOA that doesn't get a lot of publicity is the fact that within that FOA, there is a requirement around the spend and the amount of money you have to spend to show progress for the government to qualify for the FOA funding. And without that, we've got an ability to turn it down a little bit until we're a little bit further down the road. And we feel comfortable with where the technology is.
Biggs C. Porter: So to David's point, before we -- in our guidance, we'd assume that our gross spending went up and got offset by funding from FOA. And that net number was the $0.20 per share we gave previously. Now, without FOA funding, we're still at $0.20 per share by taking down the total spend number.
Operator: [Operator Instructions] We'll hear next from Alex Rygiel with FBR.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: I got a few minutes to read your 10-K. And it looked like last year, 63% of your year-end backlog was to be recognized in 2012, which was about $25 billion. And this year you're saying about 55% of your year-end backlog is going to be recognized in 2013. So that sort of suggests that you're expecting to burn about 16% less or so year-over-year. I know you don't give revenue guidance, but should we be thinking that possibly revenue is flat to down here in 2013? Or are you seeing maybe a shift mix towards faster burn projects that just haven't come through yet?
David T. Seaton: Well, I wouldn't and I don't think your reading of it is consistent with what we see. I think there is a little bit of a mix change. I mean, just look at Oil & Gas where we've got a tremendous amount of front-end work, which is obviously quick book to burn, low revenue, higher-margin types of programs that are, obviously, the precursor to the EPC projects coming into backlog. So I don't -- I mean I understand what the case says, but I wouldn't necessarily agree with your assumption there. We would expect revenue growth in 2013.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And then just a quick follow-up. If we back out a lot of these sort of one-time items, it looks like $1.58 was really adjusted down to about $1.08, which was right on the mark and right in -- within your guidance for the full year of, get's you to $3.78. But you did previously have guidance that had a range as high as $3.90. Was there anything in the fourth quarter that maybe seemed to fall a little bit short or was everything, for the most part, right on the mark?
David T. Seaton: We were right on the mark.
Biggs C. Porter: Yes, I'll just add in. You have to maybe -- you have to listen very carefully. But on the tax, we did assume we were going to get a tax pickup. We just had a bigger one than we anticipated. So versus our guidance, I would not have backed out the entire tax benefit, maybe half of it.
Operator: And we'll hear next hear from UBS, and Steven Fisher.
Steven Fisher - UBS Investment Bank, Research Division: Just to follow up on Alan's question earlier. Your I&I book to bill was positive in the quarter, and you've got those 2 bookings coming up in the first quarter, but I know it's generally going to be a little bit lumpy. But I'm curious if you have any visibility as to when you think the book-to-bill in the I&I segment could kind of sustainably reach positive territory?
David T. Seaton: Well, I think it -- I'd answer it 2 ways. I think we are seeing, as we get in through this year, additional mining opportunities, which will pick up. And then there's a fair amount of infrastructure programs that will be bid during the year with closing schedules in the -- kind of towards the end of the year, fourth quarter if not first quarter of '14. So I think it's probably going to -- it's going to be, as you said, lumpy until we get towards the back end of the year. We could see some further decline early this year but not markedly so. And I think we'll -- steady as she goes within I&I.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then just another follow-up. I think you mentioned that there were some potential buyers in the short term on NuScale. Did I hear that correctly?
David T. Seaton: Yes, investors.
Steven Fisher - UBS Investment Bank, Research Division: Investors, okay. So does that mean that there could be a sell-down in your stake before any next FOA?
David T. Seaton: Could be. It only [ph] depends on what the investors want to see.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And if that would be the case, then presumably your $0.20 should be something lower than that?
David T. Seaton: Correct.
Operator: We'll hear next from Brian Konigsberg with Vertical Research.
Brian Konigsberg - Vertical Research Partners, LLC: Okay. Just hitting on I&I one more time. Just on the backlog, so it looks like you were down I think around $750 million sequentially. You guys had a huge order quarter. You guys burned, what, $2.8 billion of revenue. I don't know why backlog actually would have been down. Was there something that came out of backlog that we should be thinking about there?
David T. Seaton: Yes, primarily, there was a downward adjustment for some customer-furnished materials being taken out of scope.
Brian Konigsberg - Vertical Research Partners, LLC: Customer-furnished material, okay.
David T. Seaton: And that was the primary driver. I mean there was a number of things going on, the biggest single one would have been that.
Brian Konigsberg - Vertical Research Partners, LLC: Got you. And just touching on the U.S. market, so it does sound like things -- like you were saying, tightening a little bit. People want to get in line with the 18%. Just curious, as far as your outlook for -- in regards to labor capacity in the market, do you see that as being an issue and an impediment to some of these projects getting [ph] off the ground? Or is there going to be enough -- the ability to bring more laborers in to execute these projects as being planned? Maybe you could just comment on that.
David T. Seaton: Yes, I think it's a good question. If you think about the professional staffs, the project management people, engineering and the like, we feel pretty good about where we stand in being able to increase that capacity pretty significantly over the short term, based on when these projects actually get their sanctioning. So we feel very good about our ability to kind of turn that crank and add folks. I think that the challenge is going to be in the craft. And we are seeing a tightening in that market that's driven primarily by retirements from the industry, an aging workforce and fewer people coming into the market. Now we've already started recreating our training centers in the Gulf Coast. We have a great following of construction management, superintendent kinds of resources, and with that brings the best craft. And I mean I feel very good that, that we'll be able to satisfy our needs because I do believe we're one of the, if not the, employer of choice both in terms of engineering but also of craft employees. So I do see a tightening, which I think will manifest itself in increased wage rates. And I think we'll have issues early on in this next boom, which I do think it's a boom with productivity in the early stages. But that's why we're spending so much attention on training and vetting these folks and having the right certifications for their skill sets.
Operator: We'll hear next from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: I guess my first question is as you folks start to see some of these larger bookings potentially coming in on the Oil & Gas side, you mentioned they're back-end loaded this year and more into 2014. So as you look at your margin trajectory within Oil & Gas and when it starts to sustainably grow above that 4% mark, should we expect that's possible this year? Or is that something -- should we be looking at this as being more of a transitional year for those margins?
David T. Seaton: Did Jamie put you up to that question?
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: No, no. But I am supposed to...
David T. Seaton: I'm kidding you, Tahira, I'm kidding you. I wouldn't venture a comment on when the margin would eclipse that 4% mark. I would suggest that we're driving hard to eclipse that number as we get through this year. We are seeing a marked improvement in those opportunities, partially because of the scope that we're taking on and the types of projects that fit our capability the best. I think Peter Oosterveer and his team have done a very good job in securing just about everything we were really chasing in some form or fashion. And in that, I think you're going to see a continued improvement in margin.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it, okay. And then my second question is maybe tied to what you were asked earlier. If you look back to your Analyst Day and the strategy laid out last year, you were hoping to self-perform more of the work and capture more of the margin. As you look at the U.S. market and given the prospects of high-end labor cost, craft labor costs going forward, how do you assess that risk? Has anything changed in terms of how much self-performed risk you're willing to take?
David T. Seaton: No, we're right on target. As I mentioned, you see -- you will see some escalation in rate and potentially degradation in productivity. But we know how to deal with that, both in terms of how we contract as well as in terms of how we manage our resources. There's a lot of contracts that we've done, and Power is an example where we've kind of carved out the wage rate issue. And we're looking at models that allow us to share that risk with our customer. We will do some of these programs on a fixed-price basis, but we're already down the road on increasing that craft performance or craft amount and understanding what that performance is. And we feel very comfortable about where we are in terms of being able to manage effectively the craft risk, both in terms of wage rate as well as productivity.
Operator: We'll hear our next question from Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: David, could you calibrate for us the amount of FEED work that you are working on and bidding currently in 2013 versus what you worked and bid on versus -- in 2012?
David T. Seaton: Oh, it's much more than 2012, both in terms of where we are in the execution of the FEEDs that we brought in, in 2012, as well as the number of new FEEDs that were either negotiations on or in a bidding circumstance with. I think that it's got the opportunity to eclipse the amount of FEED work we did in the 2007, 2008 time frame.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: And that should last into 2014, I guess, if the cycle works out as you think?
David T. Seaton: Yes, I mean I think those are going to translate into EPC awards as we get towards the back half of this year and into '14. But these projects are 36-, 48-month kinds of programs, and in some cases, even longer. So the earnings tail goes into '17, '18 on many of these programs.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: And my follow-up, David, is moving away but from the U.S., which is quite a bit of interest from investors and such, how does the rest of the world look, some of your opportunities in Middle East, Southeast Asia? Is Australia going through a major pause? Do you see Australia getting things settled if the taxes and the currency issues kind of working its [ph] way out later into the year? Just a sense of how the rest of the world looks and how it's going to impact [indiscernible] who believe they're going to grow business this year?
David T. Seaton: I mean obviously, with 75% our business outside the United States, we've continued to grow outside. And it's kind of across the board. I mean, infrastructure in the Middle East, which is kind of new, phosphate mining. So we've been able to diversify geographically within the -- excuse me, diversify from an industry perspective geographically, if that makes sense. So we've been able to take more projects across the board than I think in our history, which bodes well for I think kind of the sustainable growth model that I think we're in the middle of. The Middle East is obviously a growth area for us. There has been kind of a lull in bidding, but it's going to pick up as we go through this year. Southeast Asia and China are continuing to be positives for us. Australia, I wouldn't say that everybody took a breath. I think BHP was kind of holding off on outer harbor, it was such a big program that it looked like Australia was in decline, but I don't think so, looking at what we're doing with the Oil & Gas guys as well as other mining companies. And BHP has got signs that restarting some of those programs in the [ph] too distant future. Canada is still a big place. A lot of opportunity there in terms of oil sands, pipelines. We feel good about our position there. We feel good about our position in LNG now, with the win in Mozambique for Anadarko and what that -- what does for our ability to compete in that market. So I mean it -- I feel very bullish about things outside the United States. And I think the only limiting factor within the United States is what the regulatory environment is going to be. But I think we're poised to significantly increase the jobs that we would create. And I don't think anybody is going to try to stand in the way of that, particularly when most of these programs that we're working on in the Gulf Coast are on existing facilities that are already permitted for that purpose.
Operator: We'll hear our next question from Andrew Wittman with Robert W. Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: I wanted to just dig in a little bit on the margins on the quarter. Really starting with the federal obviously kind of restructured the LOGCAP benefited the quarter. I'm kind of picturing that's a reversal of what happened in the third quarter, kind of offsetting. But on a go-forward basis, your federal business has kind of been a mid-4 type margin business. Is that kind of the right way to think about the federal business, at least in the near term now, kind of returning to those levels after the restructuring of the LOGCAP contract?
David T. Seaton: I think if you look at -- the way to look at the Government business is more or less looking at it for a full year basis because as you say, there was the fourth quarter pickup offset a third quarter charge. The other anomaly in the year was the loss of the arbitration on Embassy project. So maybe normalize that out, but then beyond that, I think the range [ph] for the year are pretty normal.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Got it. And then just following up on, I guess, Jamie's question earlier on margins and I&I. You can get to the 5% number with some of the announcement backing out the gain for the U.K. JV sale. But you also mentioned in your K that at least in the year, there was about $60 million of closeouts that you booked. I guess my question is how much of that came in the fourth quarter? And maybe -- there's this kind of $19 million, $20 million and $21 million, were the 3 project closeouts. Which one of those were in the fourth quarter, just to give a sense of what maybe the underlying margin was in I&I?
David T. Seaton: One of them would have been, in the fourth quarter, one of the bigger ones. But there's always going to be closeouts. You shouldn't look at a project closing out and saying, oh, that represents some non-recurring source of income. Because if we perform well and if we mitigated risks as we go along and as we get to the end of contracts, we would expect to have a favorable performance. I think that there was maybe a little bit more in the fourth quarter than is typical. But quarter-on-quarter, we're going to have those type of fluctuations.
Biggs C. Porter: I think the other point is those are typically lump sum projects. And the back-end loading of that is by design. So the more we have those infrastructure programs that happened to be lump sum in our portfolio, the more predictable that end game is going to be. I wouldn't say that there was anything that was really unplanned in the quarter. Things happened as we expected, and we were able to release the money associated with certain risks that were no longer risks.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: That makes sense. If I might, just one final question here on Greater Gabbard and just want to be clear on this one. The liquidated [ph] damages for $150, that was already part of the write-off, if I'm not mistaken. I just want to clarify that. And then it looks like in the K, you highlighted $100 million of potential for counterclaim. Is that kind of the maximum liability that you're seeing it would be $100 million if it goes against you and nothing more? Just to be clear.
David T. Seaton: It's -- you're correct on the LD. And yes, you're correct on the second question.
Operator: We'll take our next question from John Rogers with D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: David, I just want to follow up on your comments relative to the boom you're seeing or hopefully you're seeing in North America. The projects as they start to -- the EPC released in, I guess, hopefully late 2013, 2014, do you expect these to come out as single individual large projects or is it -- in increments? Or I just want to understand how you think this surge in activity plays out and -- for Fluor.
David T. Seaton: Well, I don't think it's going to be one big slug of work that comes out. I think it's going to be phased -- I mean I give you an example. We've already announced the PDH project we're working on for Dow. That's a precursor to the cracker. So I mean, you're just kind of marching upstream there. The same thing is true with the other petrochemical and gas-to-liquids programs that we're working on. Obviously, we've done the majority of the FEED work on those facilities, just talking about the Gulf Coast. So we kind of know where that's going to -- how that's going to work out from a sequencing standpoint. There will be other contractors involved in some of these programs, where they have a specific skill set or expertise. And we will actually be partnering with some on some of these larger programs to take advantage of their skill set. And obviously, some of these things are pretty large. And we want to make sure that we're prudent in how we manage the risks associated with them.
John B. Rogers - D.A. Davidson & Co., Research Division: I mean how are the customers in terms of -- I know it's always difficult, but as you start negotiating pricing and terms, are they pretty amenable to cost-plus work for most of this?
David T. Seaton: In some cases, they are. I'd say it's a mixed bag of the -- I'm just talking about Oil & Gas in the Gulf Coast. It's kind of a mixed bag of reimbursable and partial lump sum. As I mentioned, we were -- around the question around craft labor, they recognize that for them to get a lump sum on some of these things, it would be a very large number in order to accept the kind of risks associated with wage rates, as an example. And they're not willing to pay that premium, nor do I think it's prudent for them to do so. So there's -- I would say the negotiation is really what's in the best interest of the asset and the business model that our customer has and what -- and within what timing is this project going to do. I think you're going to see some sequencing just because of the fear of lack of labor, craft labor. I'm not as concerned as others are in that. We know how to do that and do that very well.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And just one quick follow-up. Biggs, how many shares are you assuming in the $3.85 to $4.35 guidance?
Biggs C. Porter: We took the, basically, our year-end share position. And just have to adjust it for anticipated diluted shares above and beyond that. We didn't assume in the EPS guidance any change from additional share repurchases. Not that we won't do them, it's just that we don't incorporate that in.
Operator: We'll take our next question from Sameer Rathod with Macquarie.
Sameer Rathod - Macquarie Research: I think there's been a lot of talk about the prospect of ethane crackers. I was wondering if there's a rule of thumb on how much derivative work there could be behind the crackers and what kind of timing -- what will the timing be on that? And also, I was wondering if you had any thoughts on the market for on-purpose olefins ex ethylene in aromatics, and perhaps commenting on Fluor's experience there as well?
David T. Seaton: Well, from an experience standpoint, we've got great experience from soup to nuts down that molecule chain, including aromatics plants. I was actually involved in a very large one in Saudi Arabia back in the '90s. So we do have great capability across that value chain. I'm not sure there's a rule of thumb. When you think about petrochemical manufacturing in the United States, there really hasn't been any investment in that market for, shoot, probably at least 1.5 decades. So you've got new products, you got new capacities, you've got a global supply mix that will shift in this process with I think going further down in that molecule chain, when you start thinking about carbon fibers and the use of those in things like automotive-s and airplanes and everything else. So I think given the economics right now with gas, sub $5, $6, I think you're going to see a significant buildout. But I think it'll be in terms of new crackers up-rating or de-bottlenecking of existing crackers, both of which fall well in our capability. I think you're going to see capacity increases on existing process units, as well as new process units. So it's kind of a mixed bag. But if the economics hold for any period of time, I think you're looking at a pretty significant long-term investment in that market in the United States and the whole shift in where a lot of these projects were shipped. You think it's a world commodity, some of these plastics and fibers. You're going to see more going from the Middle East to Asia and India and less coming to the United States because they're going to be able to provide them here and just the transportation savings alone makes it profitable over the longer term. So I think it's a fundamental shift in petrochemical production right now. And I don't think it will only just be ethane crackers. I think you're probably going to see some naphtha crackers as well.
Sameer Rathod - Macquarie Research: Right. How about, I guess, the other olefins like polypropylene or butadiene, I mean given that ethane primarily produces ethylene?
David T. Seaton: Ethylene is not the end game. It's all about polyethylene, polypropylene going further down, MDI, TDI, the fibrous chain. It's pretty holistic. They won't ship ethylene.
Sameer Rathod - Macquarie Research: So do you -- I guess my last question, is do you think the derivatives market will be bigger than the first wave of ethane crackers?
David T. Seaton: In terms of number of projects, yes. And I'd say in dollars, it's probably equal to, if not greater.
Sameer Rathod - Macquarie Research: Okay. And the timing would be a few years after the ethylene buildout or would that be concurrent?
David T. Seaton: I think it'll be sequenced. It won't be concurrent, but it won't be when the ethylene is available. You're looking at a balance in those plants. But as I said, I think we're on a pretty sustained growth curve opportunity here, just on the back of shale gas in the United States for the next almost decade. I mean I think it could have that kind of tail on it.
Operator: We'll take our next question from Robert Connors with Stifel, Nicolaus.
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: With the petrochemical FEED activity as robust as you've been stating, I was just wondering if -- and as they transition into EPC in the back half of this year and 2014, have -- has Fluor or any of your clients begun to place procurement on some of the longer lead time items that are involved in some of these plants?
David T. Seaton: Well, not only ethylene crackers but obviously the PDH programs we're working on, we're well into the EPC. So in that case, yes. But the big stuff, we're still determining exactly what we need through those FEED programs. So I really don't anticipate large commitments until the back half of this year.
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then just on the Global Services margin, it seemed pretty robust but sort of declining sequentially since about the second quarter of this year. I was just wondering if this is the effect of transitioning to, say, more later cycle AMECO type work versus what's probably been some pretty strong O&M network? And if so, where do you think -- or how long do you think such a transition begins to take?
David T. Seaton: Well, on the O&M work, it's been a pretty tough market for the last 4 or 5 years. So obviously that's depressed mark -- margin in that market. But it's a good business, and we're starting to see -- we're actually starting to see customers go back to the old model of picking 2 or 3 really close companies to them and create alliance-style agreements. So we're seeing some of that come back. And with that I think comes a little bit of a margin advantage because they do see the value that, that long-term commitment on both sides has to that equation. AMECO continues to grow. And obviously, that is part of that mix, and that's going to bode well when you start looking at direct-hire construction and the use of our own equipment and the leverage associated with that.
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: And just sort of building on that comment, do you think just on strategic alliances outside of O&M, we could see any near-term announcements sort of like the alliances you have with Dow and BASF? Any new announcements?
David T. Seaton: I don't see any coming in the near term.
Operator: We'll take our next question from Will Gabrielski with Lazard.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Biggs, can you talk about the CapEx guidance for '13 and where that's going, and then how you're thinking about '13 from a cash generation standpoint? As maybe that will help us model the buyback from here.
Biggs C. Porter: Sure. In terms of the CapEx guidance, the biggest requirements have been for AMECO. And that is growing because of the additional opportunities we see around the world, including in Mozambique after having made the acquisition there. We think that's a great growth market and great IRR associated with it. So we are funding that. But there's also some internal spend. We have some long-term major office replacements that we're presuming at this point in time we finance internally as opposed to through a lease or some other arrangements. So there's some dollars in there for that. And there's some O&M projects that we considered also in the guidance. The -- in terms of cash flow for the year, this last year, 2012, there was a use of working capital tied to a decrease in advances and also for an increase in the business, so it should grow in revenues. We would expect both those things to continue into 2013. So 2013 cash flow at this point may look a lot like 2012 from an operating cash flow standpoint. But keep in mind that an awful lot of that gets tied up in timing [indiscernible] ebbs and flow, project cash flows. So it's always more meaningful to look at it over a longer period without a cutoff within the year. And that's why we look at it as well in terms of what we do from a capital deployment standpoint. We're not hardcoded on an annual cash flow target, so hopefully that helps. The -- our philosophy with respect to capital deployment remains very much the same in terms of, we obviously want to drive cash flow, want to maintain the A- credit ratings and some flexibility within that. But we'll look for opportunities to invest with a high return and absent those, with $0.16 [ph] of the dividend irrespective and absent those other opportunities, we will look to repurchase shares as excess cash becomes available. Just won't get ahead of it.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And not to belabor the point, but in terms of your -- if you look at the mix of backlog right now and where your cash is held, it would seem that there's still a disproportionate weighting internationally in your cash balance. But most of the growth opportunity, it sounds like it's shifting a little bit back towards North America. How does that play into how you think about that overseas cash?
David T. Seaton: You're right. Over time, we expect higher or a shift back, as you say, of the total backlog to the U.S. although we expect substantial growth internationally as well. So we'll see how it plays out from a percentage standpoint as we go through time. Right now, there is $1.7 billion -- or at the end of the year, $1.7 billion of our $2.6 billion total cash was international, so a lot of it overseas. As the U.S. cash balance grows, certainly it becomes more efficient to use that domestically for whatever purpose. But the most important thing is you get the cash generation irrespective of whether it's domestic or international, and that gives us the biggest opportunity.
Biggs C. Porter: Well, I want to just put a point on one thing you mentioned, and that is even though we do see a significant opportunity in the United States, I still see the majority of our business being outside the United States for some time to come.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: No, I hear you. Just in terms of the weighting of backlog maybe shifting a little bit back towards North America. Just one last question, David, if you don't mind. On the Power business, can you just give an update on the Dominion project and how maybe that's progressing towards financial closure or not? And then just broadly speaking within Power, what your expectation for the year is from an award standpoint and then visibility beyond that?
David T. Seaton: I think new awards in Power, I'm modestly optimistic. I mean, I think there's some things that have to go forward relative to gas and some of the renewables. I don't think it will be prudent for me to comment on Dominion.
Operator: We'll take our next question from Steven Fisher with UBS.
Steven Fisher - UBS Investment Bank, Research Division: Just a quick follow-up. Can you just talk about how you expect your Afghanistan work to ramp down over the next couple of years? I'm just wondering based on troop counts, do you think you could run off half by the end of 2013 and then maybe the other half by the end of '14? Or I think maybe last quarter, you'd say that there'll be a pickup before it winds down.
David T. Seaton: That's a great question. I think we're doing all the scenarios that the military has asked us to do on the back of LOGCAP. I think what typically happens in a drawdown is the services that the military is doing has to still be done when there's military in theater, and that's when they turn to us. So you actually see a little bit of a rise in our activities as you go through a drawdown. We have not gotten anything other than the things you've heard in the press that would suggest that you are going to see a significant drawdown in '13. But as we anticipated, '14 will be when we start to see that come down. But I don't think it's going to be appreciably different in '13 than it was in '12. Okay. I guess we're to the end of the questions. And thank you, operator, for handling that for us. And thanks to everyone for participating on our call today. As we've said, we believe the underlying performance of the company in 2012 was extremely strong. During the year, we returned over $500 million in cash to shareholders through dividends and the repurchase of 7.74 [ph] million shares. And we continue to maintain one of the healthiest cash positions in the industry. Looking at 2013, we're very optimistic about the opportunities, as you've heard us speak. We see opportunities across the industries and geographies that we work in, primarily Oil & Gas and petrochemicals and infrastructure I think in the near term. And we expect to see deliver solid results in line with our guidance. With that, we really appreciate your interest in our company as well as the confidence you have in us. So thank you, and everyone, have a great day.
Operator: This does concludes today's conference. We thank you all for your participation.